Operator: Good day ladies and gentlemen and welcome to the first quarter, 2014, ACCO Brands Corporation earnings conference call. My name is Genette and I will be your operator for today. At this time all participants are in listen-only mode. Later we will conduct a question-and-answer session. (Operator Instructions). As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to Ms. Jennifer Rice, Vice President, Investor Relations. Please proceed. 
Jennifer Rice: Good morning and welcome to our first quarter 2014 conference call. Speaking on the call today are Boris Elisman, President and Chief Executive Officer of ACCO Brands Corporation and Neal Fenwick, Executive Vice President and Chief Financial Officer. Slides that accompany this call have been posted to the Investor Relations section of accobrands.com. These slides provide detailed information to supplement this call. When speaking to quarterly results, we refer to adjusted results. Adjusted results exclude restructuring and merger-related costs and apply a normalized effective tax rate of 35%. Schedules of adjusted results as well as other non-GAAP financial measures and a reconciliation of these non-GAAP measures to the most directly comparable GAAP measures are in this morning's press release. During the call, we may make forward-looking statements, and based on certain risks and uncertainties, our actual plans, actions and results could differ materially. In particular our business outlook is based on certain assumptions we believe are reasonable under the circumstances. Please refer to our press release and SEC filings for an explanation of certain of these risk factors. Our forward-looking statements are made as of today's date and we assume no obligation to update them going forward. Following our prepared remarks, we will hold a Q&A session. Now, it is my pleasure to turn the call over to Boris Elisman.
Boris Elisman: Thank you, Jennifer and good morning everyone. The first quarter is typically our lowest revenue quarter, so I’ll keep my comments brief. We are pleased with our execution during the quarter and are managing the challenges of the industry well. We met our own quarterly sales and earnings expectations and I’ll iterate our outlook for the full year. Net sales decreased 6% or 3% on a constant currency basis, primarily due to lower sales volume. The adjusted loss from continuing operations improved to $0.05 a share from $0.07 a share, primarily because of lower operating expenses and lower interest costs. On a segment basis we performed slightly worse than our own initial expectations in North America with the sales down 8% at constant currency. Soft demand and customer inventory reductions had an impact on our sales in January and February although we saw some recovery in March. On the positive side, the adjusted operating loss in North America is cut in half due to executive expense management and productivity improvements. Our international segment continued to demonstrate better than expected top line performance with sales growing 6% at constant currency. Once again we saw double-digit growth in Brazil as Back-to-School season came to a strong close. Mexico and Asia Pacific contributed improved sales and Europe’s turnaround story continued into the first quarter. Unfavorable foreign exchange caused a slight decline in adjusted operating income in our international segment, but overall, I continue to be pleased with how the segment is performing. Computer Products ended the quarter about where we expected. While the overall sales declined at 8%, we saw an improvement in the trend for demand for security and PC accessories. We did however see continued weakness in the tablet and SmartPhone accessory categories. As I said in the last quarter’s call, we are sharpening our computer products strategy to refocus our investments on higher value, higher price point tablet and SmartPhone products, while no longer investing in commodity categories such as SmartPhone cases. We are also leveraging more of the expenses with the rest of our business to improve profitability. Looking forward, we are reaffirming our 2014 sales guidance of a decline in the mid-single digits and adjusted earnings per share of $0.70 to $0.76. We are also reiterating our free cash flow forecast of approximately $140 million. We believe this year’s Back-to-School season will be a step-up from last year and it will benefit from an improved product assortment and major placements at several mass merchandisers. Although we think there will continue to be a shift in sales in the second to third quarter as individuals delay their spending getting closer to the beginning of the school year. With that, I’ll ask Neal to provide additional detail on our first quarter results. Neal. 
Neal Fenwick: Thank you Boris and good morning everyone. Our first quarter performance is recapped on pages two and three of our slide deck. Q1 sales decreased 6% or 3% at constant currency. The decline was driven by lower volume in North America and Computer Products. Adjusted loss from continuing operations was $6.2 million or negative $0.05 per share compared to negative $0.07 in the prior year quarter. Looking at the specifics, gross margin decreased 70 basis points in the quarter to 26.8%. We made great progress on both our cost savings and productivity initiatives, which together contributed 60 basis points to gross margin. This was offset by unfavorable sales mix, which adversely impacted gross margin by 100 basis points and inflationary pressures of 40 basis points. SG&A expenses were down in the quarter and at the margin level decreased 20 basis points to 24.9%. Cost savings were 120 basis points favorable, which more than offset the deleveraging effect of 70 basis points and foreign exchange impact of 30 basis points. Interest expense was down $3.9 million in the quarter to $11.3 million. We benefited $0.02 per share due to refinancing and debt reduction. Turning to an overview of our segments for the quarter. In North American sales decreased 9%. The underlying decline was due to soft demand in some channel inventory reductions. North American adjusted operating income improved to a loss of $1.2 million compared to a loss of $2.5 million in the prior year quarter. Adjusted operating margin improved 60 basis points to a 0.7% loss. The improvement was a result of cost savings and productivity improvements. In our international segment, net sales decreased 2%, but on a constant currency basis increased 6%. We saw growth in most of our major geographies. Brazil led the way with growth in the teens. Mexico, Chile and Asia Pacific saw high single digit growth. Europe had low single digit growth and Australia a small decline. International adjusted operating income declined slightly however to $8.1 million from $8.6 million last year and margins contracted 30 basis points, primarily as the result of the $0.7 million negative effect of foreign currency movements. Computer products net sales decreased 8% driven by reduced pricing and lower volume for tablet accessories. As a result of sales declines, computer products adjusted operating income was $2.2 million compared to $3.4 million a year ago and adjusted operating margin decreased to 6.5% from 9.2%. We did see some stabilization in the PC and laptop accessory space, particularly in security products. Turning now to our cash flow and balance sheet. We had positive cash flow generation of $42 million during the quarter. This was down from the prior year due to forward buying of paper and starting our pre-build with Back-to-School inventory and creative materials earlier this year. Last year this occurred in the second and third quarters. For 2014 we still expect free cash flow of approximately $140 million. The year-to-year difference is mainly less benefited from working capital, adverse foreign exchange and an expected $2 million increase in cash contributions to our pension plan, partially offset by lower interest rates. Once again we expect our main cash generation in the third and fourth quarters. Q2 will be a cash outflow quarter as it was last year due to the North American Back-to-School season. Our sales and earnings guidance for the year make assumptions regarding currency. Our guidance was based on the February 4 stock rates. Recent stock rates have not changed materially. With that, I’ll conclude my remarks and move on to the Q&A, where Boris and I will be happy to take your questions. Operator. 
Operator: (Operator Instructions) Your first question comes from the line of Arnie Ursaner with CJS Securities. Please proceed. 
Arnie Ursaner - CJS Securities: Hi, good morning. Boris could you expand a little bit more on your international sales. Obviously we’ve been talking about revenue synergies you hope to achieve by cross selling in various boarders. Obviously the trends in Brazil are pretty favorable. Mexico seemed to do well. Can you expand a little bit more of how the revenue synergy strategy is working?
Boris Elisman: Good morning Arnie. We are seeing more up-tick on the revenue synergy side. We are seeing increased sales in Brazil for our Kensington products to the order of doubling versus last year. We are seeing some sales in Europe of maybe some new products. We saw actually pretty good sales in Asia of Mead decorative calendars and some of the notebooks in Q1. So we are certainly making progress towards our goal of generating about 1% to 2% of sales from positive sales synergies. The majority of growth in the international segment has been in our legacy categories in all the geographies and we are just taking shares still in a tough environment. 
Arnold Ursaner - CJS Securities: And then expand a little bit, you mentioned and you have talked about this before, reshaping your strategy in the computer products and I think you said you hope to lever some expense with other unites. Could you be little more specific about the timing and steps you do hope to take in 2014 to improve results there.
Boris Elisman: Yes and specifically in 2014, part of our structuring announcement back in December of last year involved Kensington, and we are leveraging our infrastructure to reduce the cost on the finance, some of the finance functions, some of the customer support functions and some of the supply chain functions. So that is in process and happening as we speak and I expect most of that work to be completed by the end of the second quarter. We probably won’t be done yet and there will be more things that we’ll be looking at leveraging from G&A perspective and an infrastructure perspective for Kensington. Right now we decided to keep the go to market and product development focused on the product line and as we progress on our strategy and measure in our results we’ll take the appropriate steps at that time to see if we need to leverage more. 
Arnold Ursaner - CJS Securities: And typically if you’re going to have products that effect SmartPhones or tablet in the back half of the year, but are really value added products, you would have them developed and already be introducing them to your customers for their review and acceptance. Is that process unfolding?
Boris Elisman: That process is unfolding, but I want to tamper everybody's expectations. The changing in product strategy is not a one-quarter or one season type of issue. We are going to be moving in the right direction and we’ll be introducing some new products, but it will take us some time to revise our product approach in the tablet and SmartPhone accessory space and move from more skewed towards the commodity end of it to more skewed towards the premium and value added end of it. 
Arnold Ursaner - CJS Securities: Thank you very much.
Boris Elisman: Thanks Arnie.
Operator: Your next question comes from the line of Bill Chappell with SunTrust. Please proceed. 
Bill Chappell – SunTrust: Thanks. 
Boris Elisman: Good morning Bill.
Bill Chappell – SunTrust: Good morning. First just kind of looking at these stock issues in January quarter and then the shift, consecutive 3Q. I mean, I assume that we’re seeing kind of just another shift where the season and the whole category really revolves around kind of August to December. Is that the right way to look at it or if you’re seeing a current shift of retailers are just, are really focused on the key season and defocusing in the off season, and so, is there any way to like quantify that? Are we now having 60%, 70% of the business sold in that timeframe versus what it was in the years past?
Boris Elisman: Well, the peak of the season is always a late August, kind of early September. It starts ramping up in early August, but the peak is really late August. So what’s happening this year is the major resellers or certainly the majority of the resellers who are driving out Back-to-School are setting just a little bit later in the season, so they are still selling in July, but a little bit later in July and they are taking their inventory from us in the very late June, but most likely in the July timeframe. So as opposed to last year we had a little bit of a recognition of the revenue in Q2. Some of that revenue we believe this year will shift into Q3. We still feel very, very good about the overall Back-to-School season, which for us is really four months. Its June, July, August and September if I look at those four months, but we just believe that it will be a little bit more skewed towards Q3 versus Q2 this year versus last.
Bill Chappell – SunTrust: Okay. And then can you talk just again on North America. I think we heard it from S.P. Richards and United Stationers and even you that there was some improvement in March. I’m just trying to understand was that – do we see that in April as well or are we seeing kind of stabilization in the sell through or was that just January to February we’re pretty rocky and so we’re getting back to normal.
Boris Elisman: No, we’re seeing stabilization in April as well. So really the tough period was January through Valentines Day and I’m speculating here, but most of that I believe was associated with just very, very bad weather in major parts of the country. But after Valentines Day things started to improve and March was better and April is continuing in the same trend.
Bill Chappell – SunTrust: Got it and then one last one and I’m not sure you’ll go in too specific, but kind of an update on what you’re seeing in terms of Mexico and Brazil.
Boris Elisman: Yes, we are continuing to outperform the market and our competitors who are in Brazil as Neal mentioned in his prepared remarks. We saw a teen growth in Brazil during Back-to-School season, which is just a phenomenal performance given that the economy is growing at about 1.8% and then in Mexico we’re turning the business around as we discussed. Last year we had a flat year in Mexico due to some external factors, both customer and government external factors, but we’re back to the high single digit growths in Mexico in Q1. 
Bill Chappell – SunTrust: Great. Thanks for the color.
Boris Elisman: Thanks Bill.
Operator: Your next question comes from the line of Brad Thomas with KeyBanc Capital Markets. Please proceed.
Brad Thomas - KeyBanc Capital Markets: Thanks. Good morning Boris, Neal and Jennifer.
Boris Elisman: Good morning Brad.
Brad Thomas - KeyBanc Capital Markets: A couple of quick questions on the North America business. First, with respect to Office Depot, I was wondering if you could just give us an update on how things are progressing in terms of the timing of negotiations with them and you’ve learned about – have you figured out what new terms you’ll have with them and what placements you’ll have with them and then when might we see an impact from a P&L standpoint.
Boris Elisman: So they are in the middle of their line reviews and their integration process. We’ve had two line reviews so far and we won one and we lost one. There are many more to come. I do believe that they put out the most of their business out today to try to consolidate between different suppliers. All of that, all of the known impact is built into our guidance. Its not in our guidance of things that we don’t know about, such as if its going to close lots of stores later in the year and we’ll just have to learn from them and react to that when that’s announced. But the process is perceiving as expected and there’s nothing unanticipated that we have seen so far. They remain a very key customer for us and we are aggressively going after the business there, but we’re doing it prudently and making sure that we’re making money in the process.
Brad Thomas - KeyBanc Capital Markets: Great. And then with respect to Back-to-School, obviously we’re still ways away from knowing what a sell through would look like there, but at what point will you have locked in the placements for Back-to-School. I mean at what point can you have greater confidence that you won back some shelf space that you may have lost last year.
Boris Elisman: Today we feel good about our Back-to-School placements and about the sell in, but as you mentioned, we don’t know what the consumer demand is going to be, what other issues are going to be out there, so its premature to call Back-to-School, but we are pleased with the selling and the placement.
Brad Thomas - KeyBanc Capital Markets: That’s great to hear. And then just lastly from an acquisition perspective, can you give us what your seeing out there in terms of any new availability of new countries or partners. How does the acquisition pipeline look today?
Boris Elisman: Its similar to what it was before. We believe it is a consolidating space and there are assets out there that are available to be consolidated, but we have a very disciplined process and we’ll only act on it if it makes sense for us, either in emerging geographies as I mentioned before as a priority for us or as a very accretive consolidation opportunity when we look at that as well. But things haven’t changed as far as the M&A environment is concerned. 
Brad Thomas - KeyBanc Capital Markets: Good. Well congratulations on a good quarter here and a difficult environment and best of luck.
Boris Elisman: Thank you. Thank you, Brad.
Operator: Your next question comes from the line of Chris McGinnis with Sidoti & Co. Please proceed.
Chris McGinnis - Sidoti & Co.: Good morning. Thanks for taking my question. 
Boris Elisman: Good morning Chris.
Chris McGinnis - Sidoti & Co.: Just quickly I guess two quick questions. One, just on the gross margin, kind of coming down a little bit, is that mix, is that still a headwind. For the rest of the year you see that kind of trade down. Is that trade down or can you just maybe go through that, the mix issue.
Boris Elisman: Sure. I’ll let Neal answer that question.
Neal Fenwick: So part of the business challenges we’re facing right now are hosting the computer product space, where we’ve seen obviously margin contraction around the tablet product categories where we’ve been getting ready for a range change out. So we’ve been lowering our pricing in there for our margins in that category and that obviously impacts negatively the overall mix of the business. And then in our international markets where we buy product out of China and sell them in local currencies, one of the challenges we’ve been having is obviously the movement of the USB versus those currencies and there’s always a bit of a lag before we can change pricing to catch up with that and we did change pricing at the beginning of the year, but they are starting to move a lot more than we expected and one of the problems we always had in this is the advancement which we have to give our customers, which creates this lag effect between what happens in the real world and what happens to our pricing. So both foreign exchange and Kensington are the two big drivers of the negative mix that we’re seeing at the moment.
Chris McGinnis - Sidoti & Co.: Great. And then just on the computer side, how much of the – I guess maybe in this quarter itself was the impact of exiting the phones and the lower margin business.
Boris Elisman: We certainly expect that will improve our margin in computer products and we’ll get back to the averages. Traditionally if I look at our weighted average computer products margins that are in the 35% range give or take, so we expect to overall get to that number. As Neal mentioned, in Q1, not just from us, but from everybody it’s been a very, very competitive space and lots of competitors have been fire sailing their product. The overall market actually declined in Q1 as you probably have seen from Apple’s announcement. So that definitely put pressure on our margins. So I do expect that to return to a normal in the remainder of the year. Probably not in Q2, because we’ll still have some lag in Q2 with some of these fire sales, but certainly in Q3 and beyond. And just Chris, the second part of your question was do we expect the overall margins to continue in this level. They will recover, but they’ll recover probably in the second half of the year. They do expect some of those FX pressures, specifically in the tablet and accessories pressure to remain with us a little bit into Q2 as well.
Chris McGinnis - Sidoti & Co.: Great. Thank you very much.
Boris Elisman: Thanks Chris.
Operator: Your next question is a follow-up from the line of Arnie Ursaner with CJS Securities. Please proceed. 
Arnie Ursaner - CJS Securities: Hi, a couple of quick follow-ups. You mentioned that your seeing channel inventory reductions. Could you try to give us a little better feel whether – two things related to that; one, is it across the board between the distributors and the large super stores. Well, we’ll start with that if you don’t mind.
Boris Elisman: Yes, it was similar Arnie. I think it had to do with just a poor January. Typically the way things work in our industry, especially in the commercial side, January is a very, very heavy sell through month as businesses buy, I call it the back-to-business season. So our customers stock up on inventory in December in preparation for that season and this January the sell through was clearly weaker than expected and then they had to rationalize their inventory and the saw a spacing that you can take out in the first couple of months of the year across the board.
Arnie Ursaner - CJS Securities: Well, that was really where I was heading. You tracked your final sales versus inventory replenishments, so…
Boris Elisman: Yes, correct. And we saw sales out significantly higher, significantly higher than sales in.
Arnie Ursaner - CJS Securities: Got it. And then could you expand a little bit on your end market and talk a little bit about the trends your seeing in stores versus Internet, where your seeing a lot more of your product has been moving out through that channel. Can you update us on what your seeing there?
Boris Elisman: Yes, again the trends from last year, actually the last couple of years are continuing. We are seeing a shift from the brick and mortar environment to the Internet. Our sales through the Internet e-tailers are continuing to grow significantly and even though the volume, the revenue is now a fairly significant revenue, its not meaningless anymore, it’s a good number, the growth percentage is unabated. So we’re very pleased with the progress we’re making on the e-tailer side and retail, brick and mortar retail is continuing to have a tough time, especially more in the big box specialty retails.
Arnie Ursaner - CJS Securities: And just remind us again on the margin impact as the shift continues to unfold.
Boris Elisman: It should improve our margins, so the e-tail space is a higher gross margin space for us than the big box retail. 
Arnie Ursaner - CJS Securities: Thank you.
Boris Elisman: Thanks Arnie.
Operator: Your next question comes from the line of Kevin Steinke with Barrington Research. Please proceed.
Kevin Steinke - Barrington Research: Good morning. Could you give us an update on what your seeing in the government market. I think you talked about some softness there last year. So any thoughts on that would be helpful.
Boris Elisman: We saw softness in end of Q3 and early Q4 last year due to some of the government shut down issues, but that has recovered, so there’s nothing special positive or negative that we have about the government markets. They are kind of back to normal.
Kevin Steinke - Barrington Research: Okay. Well, that’s all I had. Thanks.
Boris Elisman: Thanks Kevin.
Operator: And at this time we have no further questions. I would now like to turn the call back over to Mr. Boris Elisman, President and CEO for any closing remarks. 
Boris Elisman: Well, thank you everybody for participating in our call today and for your questions and I’m looking forward to speaking with you at the end of our second quarter in three months. Thank you.